Operator: Good day, and welcome to the Zynex 2021 Second Quarter Earnings Call. All participants will be in a listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Certain statements in this release are forward-looking and, as such, are subject to numerous risks and uncertainties. Actual results may vary significantly from the results expressed or implied in such statements. Risk factors that could cause actual results to materially differ from forward-looking statements are described in our filings with the Securities and Exchange Commission, including the Risk Factors section of our annual report on Form 10-K for the year ended December 31, 2020, as well as Forms 10-Q and 8-K, press releases in the Company’s Web site. Please note this event is being recorded. I would now like to turn the conference over to Thomas Sandgaard, Founder, Chairman and Chief Executive Officer. Please go ahead, sir.
Thomas Sandgaard: Good afternoon. My name is Thomas Sandgaard, President and CEO of Zynex. Welcome to our 2021 second quarter earnings call. I’m excited to announce yet another quarter of revenue growth and positive net income. Our second quarter revenue of $31 million is the highest quarterly revenue in this Company’s history and increased 61% compared to the same quarter last year. We continue to see good auto flow as the economy returns to normal, and second quarter orders came in 247% higher than Q2 of last year and 11% sequentially compared to the first quarter of this year. The continued strength in orders speeds volumes to the relationships that our sales force has been main prescribers and the need for them to prescribe non-opioid [indiscernible] solutions for their patients in pain. As a reminder, the majority of cash and revenue related to order comes in over the year and following years, following the receipt of the order as the patient use the device and related supplies, which should lead to expanding revenue and profitability further throughout 2021 and beyond. During the second quarter, we continued to focus on the productivity of our sales reps and trimmed our less productive reps. Determining of sales reps and the high competitive job market resulted in not hiring as many reps as we said goodbye to. And therefore also a decrease in active sales reps now ass throughout the second quarter to approximately 450 reps at the end of the second quarter. The decrease in sales reps now slightly decreased the forecasted revenue, but also in term, which I think is very important boost profitability in the near-term. It is obviously very difficult to grow as fast as we have been growing for a while and invest in the Salesforce was a very high expense and, and post a significant profit. We now saw the beginning of Q2 and expect to see that throughout the rest of the year that will be slightly more profitable than we originally expected. We still expect to have approximately 550 sales reps by year end. The addition of a net of 50 sales reps compared to the beginning of this year, compared to a net of over 300 that we added in 2020, most of those in the second half of 2020. The additional sales force growth is now happening at a much slower pace, which will directly help our bottom line. I also want to mention that our operations still continue without issues and our supply chain remains uninterrupted. As we discussed previously, we are taking a very conservative position in response to COVID and any possible supplier supply chain issues which resulted in an increased inventory at the end of Q1 of approximately three million inaccessible normal levels in Q2 our inventory level started moving back to more normal levels, which will continue during the second half of 2021. As announced earlier this year, we moved into a new corporate headquarters during the quarter. The new building has additional square footage and expansion rights to support our continued growth. The opioid epidemic continues to be a serious issue in this country. And we are increasingly working to get patients off opioids and for physicians to use our prescription space technology as the first line of defense when treating pain. Currently, the devastating impact has reached the level where 10s of 1000s die yearly due to opioid abuse. We continue to develop more tools to make physicians aware of our technologies that literally has no side effects. Our product for pain management and rehabilitation still stand out as some of the best in the industry. The next wave for pain management on [indiscernible] devices for stroke rehabilitation, and the [indiscernible] contents treatment puts us in a very strong product position and the rehabilitation. We continue to see great potential in both our product division, our existing revenue generating area for pain management, as well as a huge unmet potential for blood volume monitor. As most of you probably already know, we managed to get FDA clearance for our CM-1500 blood volume monitor a year ago, we recently also filed a patent on top of the three patents that have now been issued for the blood volume monitor, but also for a non-invasive method to detect the early detection of sepsis. The CM-1500 is a non-invasive monitor intended to monitor patients fluid balance in the hospitals and surgical centers. We expect to easily target ORs and surgeries that typically display substantial problems as well as recovery rooms and ICUs where internal bleeding so they are common and difficult to detect until serious complications occur. We believe this product will lead to safer surgeries fewer complications and less mortality, one of the biggest unmet needs in hospitals today. We continue to see solid preliminary results from a clinical study of Wake Forest, we have now had the device monitor more than more than 120 patients. And the device so far has been solid in terms of not providing a false positive or when there has been bleeding and or other fluid loss showing a significant change. So, this is obviously very encouraging. And we are gearing up to commence those studies on the device shortly. Our engineering team is also expanding pretty significantly and well underway the building prototypes of the next generation CM-1600, that will be easy to use in settings compared to CM-1500. And we are also adding personnel and other resources to conduct more clinical research. I will now turn the call over to Dan Moorhead, our CFO.
Daniel Moorhead: Thanks, Thomas. First I will review our 2021 second quarter results. Orders grew 247% year-over-year and net revenue grew 61% to $31 million from $19.3 million in 2020. It is also worth noting the Q2 revenue increased 29% sequentially, compared to Q1. Device revenue increased 83% to $7.8 million, compared to $4.3 million last year. Supplies revenue increased 55% year-over-year to $23.2 million from $15 million. Gross margins were 77% in the quarter. As we have mentioned previously, we transitioned our production and warehouse to a new facility during Q1. This has greatly enhanced our efficiency, but in the short-term, it has put some pressure on gross margins. Sales and marketing expenses increased 102% year-over-year, due to our Salesforce growth. G&A expense grew 43% year-over-year. Much of the increase was related to increase headcount in our reimbursement and patient support functions related to our order growth. Second quarter net income was $2.8 million or $0.08 per diluted share. Adjusted EBITDA, which is a standard EBITDA calculation plus an exclusion of non-cash, stock-based compensation, severance non-cash lease expense and other income expense and is reconciled in our press release was $4.8 million in the second quarter of 2021. I will now review our 2021 six month results. Orders grew 186% year-over-year, which increased net revenue 60% to $55.1 million from $34.5 million in 2020. Device revenue increased 84% to $14.2 million, compared to $7.7 million last year. Supplies revenue increased 53% year-over-year to $41 million from $26.8 million. Gross margins were 76% in the first half of 2021. Sales and marketing expenses increased 123% year-over-year and G&A expense grew 44% year-over-year. 2021 six months net income was $2.1 million or $0.06 per diluted share, compared to net income of $6 million or $0.17 per diluted share last year. Adjusted EBITDA was $4.4 million in the first half of 2021. On the balance sheet as of June 30th, cash was $32.3 million, which is down slightly from Q1, but mainly related to the $2 million in purchases in our stock buyback program. Our working capital was $52.9 million at June 30th. With that I will turn the call back over to Thomas.
Thomas Sandgaard: I’m sorry. I will be right back. And I’m pleased with the second quarter, order growth of 247% and revenue our growth of 61%. It really justifies the investments in our sales personnel, sales management, and insight support functions. Our focus for 2021 is increasing sales rep for productivity as selling resumes to normal course, continuing to leverage the investments we have made within sales and DNA to improve profitability, and most importantly, helping patients in pain. We will continue our Salesforce growth in the second half of 2021, but a slower pace than in 2020. We have made the investments in growing out of Salesforce, primarily in the second half of 2020. This investment is showing all the right signs that the first quarter always grew at 140% year-over-year and again, in the second quarter of 247% year-over-year. These orders converting to revenue over the next several quarters, I should say several years and further out. And therefore, we continued to build profitability in the second half of 2021 and 2022. We estimate our third quarter revenue to come in between $34.5 million and $36 million with an adjusted EBITDA of between five million and six million. The third quarter revenue range is now at 72% to 80% higher than 2020s third quarter revenue. We have now our full-year 2021 revenue estimated from to now be between 130 million and 137.5 million with adjusted EBITDA expected to come in between 16.5 million and 21.5 million. The full-year 2021 revenue estimate is in the lower end of previously provided guidance due to fewer than expected field and sales reps, which is partly due to how hot it is to hire sales reps side. But the good part about it is that is having a positive effect on our near-term profitability. The full-year revenue estimate is approximately 62% to 72% of 2020 revenue of 80.1 million. My long-term goal for our electro therapy and rehab division is to continue to grow our share of a huge market for prescription pain management and to take advantage of the huge void in the market after the disappearance of our main competitors. This includes growing domestic Salesforce, as well as potential acquisitions of complementary technologies. Our long-term goal is to fill all 800 territories in the U.S. and eventually our sales reps all become fully productive. We see that it takes up to two years to make a sales rep fully productive. In summary, we have announced strong growth in orders and we see those will drive revenue growth and profitability growth in the second half of 2021. We will now answer questions from all the listeners.
Operator: Thank you. [Operator Instructions] The first question will come from Matthew O’Brian with Piper Sandler.
Unidentified Analyst: Hi guys. This is [Simran] (Ph) on for Matt. Thank you for taking the question. So, I wanted to speak on the sales force, as you guys are looking to onboard more reps, I think you mentioned 550 was the target by year end, what does that mean for the spend here in the back half of the year in order to hit that target, and then can you also speak on the attrition you are seeing in the sales force, which seem to impact this quarters total rep number more so than in previous quarters?
Daniel Moorhead: Yes, I would say it impacts the bottom line more than anything, relatively new reps that got added, maybe at the very end of last year, would not have provided a whole lot of orders that have contributed to revenue yet. So, the fact that we - in the first quarter we are very conservative about adding a whole lot of reps and are more focused on trimming those that were not so productive and continue that trend here through the second quarter as well contributed to a better bottom line than we originally estimated. Not really contributing so much to any change in revenue. And we will see, as we ramp-up to sales force again, although it will be at a much slower pace, we will see that the rest of the year looks pretty solid in terms of the bottom line. And we will be coming in at approximately the same revenue that we were expecting going into the year.
Unidentified Analyst: Okay, sorry, I think what I meant was would you have to spend more in order to hit that target in order to onboard those reps, the 550 that you are trying to hit by your end?
Daniel Moorhead: There is not a whole lot of additional expense. I think the fact that we will end up at 550, a while back six months ago, seven months ago, we were thinking more like 600 reps at the end of the year. So as a result of that we will end up spending less and therefore we are very optimistic about the EBITDA and the EBITDA margin.
Daniel Moorhead: And then if you look at it a percent of - just real quick, if you look at it as a percent of revenue, Q2 sales and expenses, were about 44%. It should be similar to that in Q3 as a percentage as the revenue goes up. And then we will continue to gain more leverage on it. So, it should be approaching, 40% to 41% of revenue by Q4.
Unidentified Analyst: Okay, thank you guys. And then just a follow-up, could you maybe provide some color of what that means for the outlook in 2022?
Daniel Moorhead: Yes, since we have seen several quarters with order growth well over 100%, which is a doubling of revenue. Of course, it is yet to be seen how well our first sales force will continue to ramp up on how the new reps we add in globe will be ramping up in the early days, to see if we can get the same kind of order growth in the next quarter too. Obviously as our numbers - the top line continue to go up, and we feel more and more territories and they become more mature the percentage growth will eventually start dropping. But, revenue for next year compared to the revenue for this year could well be approaching a 100%. But again, that would be pretty significant. That is a significant tolerance on that. It is always easier to predict when a company grows 5% or 6% a year, and when we are talking about this kind of growth, there is a pretty good tolerance on the revenue growth and order growth we will see next year.
Unidentified Analyst: Okay. Perfect. Thank you guys for taking the question.
Operator: The next question will come from Jeffrey Cohen with Ladenburg Thalmann. Please go ahead.
Unidentified Analyst: Hi, Dan and Thomas, this is actually [Destiny] (Ph) on for Jeff. Thank you for taking my question. I was just wondering if you could first maybe talk about some of the progress you have made around securing an additional supplier or additional supply sources. I know that you mentioned that you are taking precautions and being conservative. So, I’m wondering if there is any additional information you could give us around that?
Daniel Moorhead: No. Not really any material, significant information. It just shows quarter-after-quarter that this guidance here we applied or started applying about two years ago, it is working really well. Having so many sites and sources in place, and also being very conservative about placing orders far in the future has put us in a strong position, and we are just obviously trimming the inventory levels a little bit, just so that as we see that long-term supply chains will be more stable, that we don’t carry too much inventory. But, so - our cash position a little bit on the other hand, as we were able to afford it, I think that money was well spent.
Unidentified Analyst: Understood. Thank you. Perhaps I will transition over to some Salesforce questions. Could you remind me how many sales reps one call center or backend individual support, can typically manage in terms of patient volume?
Daniel Moorhead: Yes. We change this all the time because in terms of the infrastructure, the back office supporting our sales reps. We have here the last couple of years, we probably restructured that over two years, probably four or five times as we continue to grow as - the issues we are dealing with on the Salesforce keeps changing. But probably more importantly, as we, in the middle of last year or the second half of last year expanded our regional sales manager from five up to 15 to manage how many sales reps we have we have now. So, as a result of that, we have actually been able to make it a little lighter, on the inside and move people over to processing orders, making sure that the prescriptions we get the background information to demographics, et cetera, that is almost complete. So it just kept changing. But typically, we have had one support person, if you want to put it that way, of per region and a couple of support people per region as well that helps the reps getting - filling the paperwork in complete, et cetera. So depending on how you create the structure, but it takes about three, maybe four people per region to support them, and you multiply that by 15. So that tells you about the support organization.
Unidentified Analyst: Okay. Thank you. Got it. Alright. Thank you. And I have to ask your progress around the blood volume monitor. How, what kind of feedback are you getting internally from your VP of sales and off as well as some of the initial customers and placements. And then you mentioned some clinical work, and I was wondering if you could provide a little more detail on that as well?
Daniel Moorhead: Yes. I don’t have the list with me - that is more than half a dozen to 10 sites research, hospitals, et cetera. That we were working on, I don’t remember the names right here. And then more kind of in hop with that deal we talking to, obviously he is really excited, very excited about the kind of edit you are getting from wake forest. I believe that, it is better than we would expect. But we also trying to, especially with the new studies signed we are deciding I have tried to stress test it. So that is the more extreme situations we put the device in and therefore potentially learn more about how to train and optimize some of the parameters we use that into the index. But so far, it looks like a very, very solid product.
Unidentified Analyst: Okay. That is very interesting. Great. Thank you. I think I’ll take the rest of my questions offline and let someone else jump in. Thank you.
Daniel Moorhead: Okay, thanks.
Operator: The next question will come from Yi Chen with HC Wainwright. Please go ahead.
Yi Chen: Thank you for taking my question. I think your original go for the sales rep number by the end of this year was 600. Now that is a bit lower. So would you say the overall timeframe for to reach your ultimate goal up for the number of sales reps has shifted little bit later, due to the difficulty of funding experienced and protective sales reps?
Daniel Moorhead: Yes. I would say, yes. I’m not sure we have been specific about an endpoint for that. But we should be able to add from here on up to 100 rep a year. And we could probably push it or because we saw what we could do last year. We can probably push it to get to 600 by year. But at this point, because it is not as easy as it was a year ago. I think it is better that we also picky about who we hire. So we have a highest success rate. I think that is important too, obviously, is that it is going to, as we continue to grow over the next several years has been the - it gave us a slightly better EBITDA margin or profitability, by not growing as fast. So, technically you are right. Yes.
Yi Chen: Okay. Got it. At this point, would you be able to provide some clarification regarding the potential launch or the launch of the blood body monitor potentially in 2022 and whether that is going to be the original model or the newest model?
Daniel Moorhead: That is a good question. Personally, I think the features including being wireless, instead of having a cable over to the patient is one of those things, that is going to make it a much easier sell and there is a few things in the [indiscernible] concept, the algorithms and all that still the same. So, that is something we are definitely looking at. I think it is probably more about having have a little more substance in terms of the clinical support. So, that when we do approach at a broader scale, hospitals in general, surgical centers, etcetera, that we may get a an easy sell for the sales force and all the medical device companies we might be working with. In the future to get, but it is yes, there is definitely building the clinical evidence. And we are also debating internally, where we should put the biggest push, whether it should be the existing model, or a one of the two next models that we have in the pipeline, and literally prototyping now.
Yi Chen: So by the end of this year, we will have better clarity as to the launch?
Daniel Moorhead: Yes, probably. I think there is so much happening in that division now that there’ll be a lot more to talk about in the next in a couple of quarters. Definitely, yes.
Yi Chen: Okay. Thank you Thomas.
Operator: The next question will come from Marc Wiesenberger with B. Riley. Please go ahead.
Marc Wiesenberger: Thanks. Good afternoon. The updated guide contemplates any potential disruptions from the Delta variants in the second half of the year or is it based essentially on an unchanged environment in the second quarter?
Daniel Moorhead: I would say no. And to be more specific, unchanged environment. Yes. That what we estimate.
Marc Wiesenberger: Got it. And then a little more commentary on the calling of the sales force. Was there a change in any quota levels or what kind of went into the decision to trim now was it that you just kind of your tolerance for some wider performance was no longer acceptable or kind of maybe just help us understand your thought process on trimming now?
Daniel Moorhead: I think it is a combination of things. But one of the primary driving factors was obviously considering the 300 net additions last year where the majority was towards the end of the year. We did have quite a few people that were not performing to use the term quota to sort of the minimum requirements that tell us that we will have a solid performer long-term. So, that is been quite a bit of turnover in that. And deliberately, early in the year, we were hiring at a much lower rate, probably about a fifth of what we did in the second half of last year. And that obviously made it out to be a deduction in sales force. It is not something that we would look at as a negative, of course, I will take the, the increased bottom line anyway while we serve silver reorder significantly, but as we looking at it, it is now becoming easier to manage the sales force for regional sales managers because they have fuel and as you said, less dysfunctional reps that you need to attend to. So, that is a lot of benefits, as we didn’t has that leaning into the Salesforce, during that period. We have now doubled, tripled that effort, so that we will be adding in public, probably you might have 20 every month throughout the rest of the year.
Marc Wiesenberger: Got it. Thank you. Can you talk about the Top 10 reps and what percentage of sales they represent as well as the Top 50 sales reps and how have those percentages changed since end of last year?
Daniel Moorhead: Paul, I don’t have the numbers in front of me, so I’d have to guess a little bit. But our Top 10 reps would probably be producing something like 4% or 5% of all orders. And there is also, let me think, and there is not necessarily a correlation between who are the Top 10 order producers and who are the better revenue producers. But we still have some reps that are, that if you were upset, produce maybe two million or close to two million a year and quite a few more of a dozen that produced well over a million a year. And a lot of reps that are slowly creeping up there, but they obviously need to have been employed here for quite a while before the accumulator revenue, as he comes in month after month or after the order comes in before that revenue slowly stops moving the average revenue per sales number. And to your question of Top 50, approx 10% of our Salesforce, we probably get something like 15% of all orders from those. It is very widespread as you can think. They all are fortunately just concentrated to a few reps, but that is been spread out through the entire country.
Marc Wiesenberger: Sure. Yep. Just two final questions from me. With regards to the next wave, do you have any plans to kind of update it at all, maybe make it wireless or add additional functionality and just not, how do you, how long do you think the current iteration can sustain its reception in the market as we do see some early entrance having maybe a more kind of updated team management devices?
Daniel Moorhead: Currently we don’t have any plans. So, we got really great engineers so that we relatively quickly can bring you a new versions of that technology or all the products to the market if need be. And as we see new technologies come to the market all the time, we saw that, 30-years ago, we saw that, 20-years ago, 10-years ago, et cetera. It is still a very strong in terms of market at that the ability and holds a very strong position. And what we have seen is, most what is more important is obviously that, pretty much all insurance cover it. We also see that obviously prescribers are familiar with it and becoming more and more familiar with it. And one of the most important things that drives when prescriptions are waiting to lot of extent. The relationship between the sales rep and the prescriber, as well as how well we as an organization, not just the device, but how well we take care of the patients. We help them with insurance questions. We helped them with technical questions. And we literally follow up with the patient same day, or did they ask for more phase? We get the prescriptive. We follow up with a patient same day or the day after the procedure, the device, and we have a very extensive customer service department. We tried to keep as well-staffed, I should say, in some cases, almost half so that we can answer all calls that come in at 90% at a time. So no one gets to leave voicemails or anything. It is part of the overall experience and also makes the prescriber want to continue to prescribe the device because we take good care of the patient. So it is not just having a great device. It is seeing time to experience and having a strong sales force with the strong relationships. That is important for attenuating the prescription. And then the future of revenue as you were alluding to. So the pressure on just having essentially new technology, it is really the whole package and being able to with prescription slings. I like to say, if you would be able to have patients with pain. So I don’t see a competitive product, from a product point of view, competitive pressure at all.
Marc Wiesenberger: Understood. Thanks. And then just a final one for me, have you added any sales reps in the monitoring division at all?
Daniel Moorhead: We are about to add a few people who are developing people that you can call them go inside sales reps, then spending a lot of the time of developing key opinion leaders more than just knocking on doors and try to move some box. So, that is when they believe the strategy here early on, it is about getting for research, also building key opinion leaders and, and part of the staff steps that you have to take in this type of medical device sales.
Marc Wiesenberger: Understood. Thank you very much.
Operator: The next question will come from James Terwilliger of Northland Securities. Please go ahead.
James Terwilliger: Excellent, thank you. First of all, thanks for taking my question and a nice job on the quarter. Very quickly and I apologize, Thomas. I have been kind of flipping between different earnings calls and fortunately. On the pain management side and I have heard this from some other companies. Are you getting hit by any type of wage pressure? It is hard to find employees out there, let alone good employees. Are you seeing any type of increase in wage pressure or what you have to pay these particular, sales reps that you are trying to hire?
Daniel Moorhead: We lost Thomas there, but we are seeing, It is just general hiring pressure, one finding them, and then it becomes wage pressure because they may have offers from a lot of different places to work. And it is just very competitive in this industry period, sales, med device or med tech, I would say generally, it is really competitive. So yes, that that ends up putting some pressure on, wages and how that wage package is structured for sure.
James Terwilliger: Yes, no, I’m hearing that from other companies as well. And again, I apologize. I have been jumping around on a couple calls. How many people are moving on to the to the monitor division? How many people were in that? I know, we talked about business development and working with KOls? Is it a five to 10 person team in there? I know it is pretty lean and mean, but I mean, is that still kind of or how many people were in that monitoring division at this time?
Daniel Moorhead: Yes, I think it is been a handful in that kind of five to 10 range. But we have definitely seen some new hires here. So, we have bumped over 10. And then the hiring plan for the rest of the year. Thomas, you can comment more, but I think it is going to push us close to 15 to 20 by the end of the year.
Thomas Sandgaard: Yes, absolutely. We are now investing heavily in it. And we have a great guy, John Gray that is running that division. And it is very encouraging to see how we now see a lot of activity in that that division.
James Terwilliger: So, I got two more questions on the monitor. I thought I heard Wake Forest earlier in the call. And again, I apologize again, how many clinical test sites or how many beta sites are you in right now? I know it is early, but I know it is going to be a tough sell a piece of capital equipment going into a hospital after the hospital shut down with COVID. But how many different hospital clients are you kind of working through with this monitor at this time?
Daniel Moorhead: I will be talking to a lot of hopefully, we will get started very, very soon. But technically, we just in that one right now.
James Terwilliger: Okay. And then, lastly, Thomas, this is for you. If you are looking to, 2022 and how you would launch this monitor. And I don’t want to get into the numbers because it is too early. Would your preference be to go with an internal sales force or strategic partner or maybe monitor with your business development people? So, maybe some independent distributors, I could call on those hospitals or any what is your thought on ideally, I know, you may not have the answer yet, what you would want to do in terms of distribution for this monitor?
Thomas Sandgaard: I think, as a small medical device company, and this is a fairly new area for us, relatively speaking, I think the best thing we can do is explore all options. And fortunately, we do have the financial ability to take the time to do it right. And also to develop on all fronts, whether it is private labeling, whether it is strategic partnerships, whether it is like licensing, whether it is a direct sales force, and it could also from a geographic perspective, be different. applying different distribution strategies, depending on the part of the globe that we are addressing.
James Terwilliger: Now that makes complete sense. Once again, nice job on the quarter and I will jump back in the queue. Thanks for taking my question guys. Take care of yourself.
Daniel Moorhead: Thanks James.
Operator: And this will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Thomas Sandgaard for any closing remarks.
Thomas Sandgaard: Thank you. I hope today’s earnings call has been informative for everyone, and I appreciate the interest in Zynex and listening in on this call. Thank you and a great day to all.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.